Operator: Good morning, and welcome to the Realogy Holdings Corporation's Fourth Quarter 2020 Earnings Conference Call via webcast. Today's call is being recorded, and a written transcript will be made available in the Investor Information section of the company's Web site tomorrow. A webcast replay will also be made available on the company's Web site. At this time, I would like to turn the conference over to Realogy's Senior Vice President, Alicia Swift. Please go ahead, Alicia.
Alicia Swift: Thank you, Carmen. Good morning, and welcome to Realogy's fourth quarter 2020 earnings conference call. On the call with me today are Realogy's CEO and President, Ryan Schneider; and Chief Financial Officer, Charlotte Simonelli.
Ryan Schneider: Thank you, Alicia. Good morning, everyone. We have been transforming Realogy for the past few years. We are faster, we are leaner and we are more innovative. We are driving more organic growth. We are differentiating our technology. We are working to get closer to the consumer and we still are substantially improving our balance sheet. And even in the midst of 2020’s challenges, we were able to accelerate our transformation. We delivered an incredible 2020 operating results; $726 million in operating EBITDA, 555 million in free cash flow, double digit transactional volume growth and market share gains in the back half of the year, all while streamlining our businesses.
Charlotte Simonelli: Thank you, Ryan. Good morning, everyone. 2020 was a tremendous year of operational and financial execution for Realogy. Full year 2020 revenue grew 6% to $6.2 billion and we delivered 726 million in operating EBITDA, an increase of 23% from 2019. We also generated 555 million of free cash flow, up 329 million versus prior year.  Operationally, our agents and franchisees closed 1.4 million transactions during 2020 as we saw 13% year-over-year transaction volume growth, despite the dramatic Q2 housing market contraction and the yearlong headwinds in the New York City market. 
Operator: Thank you. . Our first question is from John Campbell with Stephens. Your question please.
John Campbell: Hi, guys. Good morning. Congrats on wrapping up a great year.
Ryan Schneider: Thanks, John.
John Campbell: On the overall transaction volume lift, that was impressive throughout the year. You guys really -- I mean it really stood out in the back half of the year and that's a good result considering the continued headwinds out of the New York market. But, Ryan, can you talk to maybe the organic share gains and what you think helped drive that in the back half particularly?
Ryan Schneider: Yes. Look, it’s no secret we've been under some market share pressure with some competitive stuff for a couple of years. We're really excited to show some pretty substantial market share gains relative to NAR in both Q3 and Q4. There are really two things that drove this, John. So one is our assets. Our agent growth is up. As Charlotte talked about, our retention is up. As Charlotte and I both talked about, we've had franchise expansion success and some of our brands are just doing great. The second is, the strongest part of the housing market was at the higher end and we are very well positioned at the higher end, which is a place I think you really want to be with our Sotheby’s brand, our Corcoran brand, or Coldwell Banker brand, as well as the geographic footprint of both our franchise and our owned business. So I would say a bunch of this share gain was our actions of the list that I just gave you, and a piece of it was also the fact that we're just well positioned at the high end and that was a stronger part of the housing market for the last half of 2020.
John Campbell: Yes, makes sense. Thanks for that color. And then on the mortgage JV impact, just a couple of quick questions there. So first, how much did that contribute in the quarter? And then what was the full 2020 impact versus 2019? And then I know a lot depends on the macro, but just at a high level, how should we be thinking about that contribution in particular just throughout 2021?
Ryan Schneider: Well, Charlotte can give you some numbers, but let me just give you a little bit of strategy here. So there's -- just like I gave you the answer on market share, there's two things going on at mort. One is, obviously, it was a strong year for mortgage and a good refinance market and we benefited from that. But the other and the thing I hope people don't lose sight of is two years ago, we started this brand new mortgage joint venture and we lost money and I had to eat some dirt and all that kind of stuff. But we've been strategically expanding this thing. Our coverage of our brokerage business is greater with it, our loan officer expansion has been really good, our service quality is doing great. And so part of what we got in 2020 was just a strategic expansion and more geographic coverage, better penetration, et cetera, along with the hot market. So for us, if the refi market goes a little bit backwards from 2020, that will affect it. But a lot of what we build and grew in 2020 was our strategic expansion, our digital title closing product getting a lot more usage. And so, we liked the strategic trajectory, we're going to move with the macro on the refi side, and 2020 is clearly a great year for that, but just like the market share, some of it was the market and some of it was us, and we're excited about that. Charlotte, do you want to give John any of the numbers he asked about?
Charlotte Simonelli: Yes, sure. So title group in total, the Q4 operating EBITDA was 58 million, which was up 44 million versus the prior year. So as you can see, mortgage is a big piece of that and we had outstanding results. But to add to Ryan's point, there's a lot more to it than just -- there's things that we've done to grow the business. There's a refinancing impact. There’s also higher gain on sale margins, which were prevalent last year. So all those things are things we're watching. What we're excited about is it’s still off to a good start this year, and we'll continue to watch it.
John Campbell: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Ryan McKeveny with Zelman & Associates. Your question please.
Ryan McKeveny: Yes. Good morning and congrats on the performance through the year. I wanted to follow up on John's question around the mortgage and title performance. So, Ryan, I hear you calling out obviously a combination of market dynamics, some of the strategic expansion, the uplift on the digital side of things. So I guess my question is, maybe from a geographic standpoint, where is the guaranteed rate JV or even on the title side of things in terms of the actual, like, coverage and breadth across Realogy customers? Is there kind of clear runway for just expansion of getting more loan officers across the country from where we are today, or has the heavy lifting kind of been done in terms of that footprint and now it's more the execution? Just trying to separate sort of the clear growth potential incrementally versus just kind of leveraging what's already built at this point.
Ryan Schneider: Yes. Well, let me start with the strategic answer. I try to talk about this a little bit in the future, Ryan, which is we have a vision which a lot of people I think have that there can be much more done to create an integrated transaction for the customer to just make the process easier, and most of that process, by the way, is the closing process. And we have the pieces of it with title and mortgage and some of the digital products we've invested in, plus our leading position in brokerage. And in 2020, we started to put that together. And you can just see how much we were capturing more of the economics by creating a better closing experience and beginning to integrate these things. We think strategically there's a lot more room to go on that. On the more tactical practical side, our title business is pretty well architected across the nation, but we're still expanding. We expanded in Idaho. We expanded in Utah. We got a couple of other ones kind of coming up to get a little bit more expansion there. Mortgage has more room to expand, and the expansion is both a little bit more geographic coverage, but it is also depth. We have a vision of whatever, 1 loan officer to every 25 agents, right? We're not at that vision yet, right? We're more like 1 at 50 kind of thing. And so along with kind of finishing the geographic coverage of our brokerage footprint, which we have a little bit more to go on, we want to get more depth. And there's real power in I think what our agents can do to help loan officers drive business. And so we think there's room for that. So those are a little bit of the places where I think we've got more to go. But it's all in this architected strategically how do we integrate these businesses we've got, the technology that we've been building to create a better experience, capture more of these transactions, both title and mortgage, and drive more integrated economics like we actually demonstrated more in 2020 than we'd ever done before.
Ryan McKeveny: Yes, that's very helpful, Ryan. Thank you. And a follow up to it. So I'm trying to tie it back a bit to the brokerage agent split dynamics. So, big picture strategy wise, I guess my assumption would be the stronger kind of performance and contribution you can get out of title and mortgage, theoretically, that allows a bit more leeway or flexibility on the split side of things, especially with just industry splits tending to just move up and up and up. So is it fair to think that kind of the strategy around mortgage and title ties back to how you guys kind of game planned and strategize within kind of the performance you put up within -- directly within the brokerage segment kind of tying to I think the concept you mentioned around the integrated transaction and all the pieces, we obviously see the segments broken out. But just curious if you could talk about the bigger picture strategy of kind of tying it altogether on a companywide basis? Thank you so much.
Ryan Schneider: Yes, I think you actually answered the question, Ryan, for us which we appreciate, and Charlotte will talk about this, which is in a world where not just Realogy, but our industry has some increasing upward pressure on agent commissions being strong on our cost approach year-over-year on operating cost is a way to offset some of that margin pressure. And then the more we can capture the integrated transaction economics, obviously, that's another way not just to offset the pressure, but if you look at 2020 go beyond offsetting the pressure with our mortgage and title results. And so that's how the business works. And one thing is, is we report mortgage and title separately, but those businesses wouldn't exist without brokerage, right? And when you go talk to our franchisees who are running brokerages, they don't report this stuff separately. It's brokerage, mortgage, title in an integrated business. That's how we are trying to deal with it also. And so when you think about the power of our brokerage business, which makes hundreds of millions of dollars on the owned brokerage side, the title and mortgage economics are an integral part of that. And you can think of them all as a hole that we're trying to maximize, and creating more integration for the customer is a big part of our future on that we believe and we've got some early success on. But it's also with mortgage and title and these integrated economics, a way to deal with some of the margin pressure that's been in this industry and for our company on commission splits.
Ryan McKeveny: Makes sense. Thank you very much.
Operator: Thank you. Our next question comes from Matthew Bouley with Barclays. Your question please.
Matthew Bouley: Good morning. Thank you for taking the questions. Following up actually on the last point around commission splits, you mentioned that I think you said 200 basis points of the pressure in 2020 was from a confluence of few factors; mix, the lack of -- or excuse me, your own efforts to recruit and then just agents moving up the split schedule earlier. My question is, why wouldn't those three factors drive a similar increase in splits in 2021? And just thinking about the timing of how strong volumes have started the year, is there risk to agents moving up the split tables even earlier than normal? Thank you.
Charlotte Simonelli: Sure. So the drivers will be the same and it really does depend on the volume, because it's not just the mix, it's the mix combined with just how high volumes were and we’ll start to see that a lot in the back half. And so yes, the drivers will be the same. The amount of the impact could vary based on just the housing market in general. As far as how they progress up the table, there's not just like one shot off point throughout the year, they're pretty evenly seasonalized with contracts. So yes, there can be a point where folks do drop off, but then they reset based on where they finished the year. And so if they finish the year strong on their table, then they'll remain at that table until the following year when you see how their performance was. So, hopefully, those mechanics help.
Ryan Schneider: Yes. And just one thing to add to that. Remember – look, on our investments, which we like and they have frankly worked out pretty well for us when we look back at our integrated economics in 2020, we get to own our choices on that, right? We like the choices on that. So on that metric, we do have actually some real control over how this metric goes. And then as Charlotte said, because not everybody resets on January 1, it's a little more of a kind of we'll see on the volume thing, but at the end of the day, I think Charlotte laid out pretty much what the drivers are. And you look back in very strong housing market years, whether it's 2020 or others, the pressure is even higher in a year like 2019 where the housing market is largely flattish or slightly negative or whatever it was, it's frankly much lower. So the housing volume correlates pretty interestingly with this. And obviously, we're rooting for a high volume year, but we have some choices in this that we are also going to be making.
Matthew Bouley: Right. Okay, that's helpful color. The second one, just on the model, looking at the G&A in Q4, was a little bit higher than we expected. Was that just employee incentives? What else drove that? Obviously, I'm trying to understand how to think about leverage on G&A going forward in 2021. Thank you.
Charlotte Simonelli: Yes. You hit the nail on the head. There definitely were some timing on employer related costs and there were some other non-employee related expenses that timing hit Q4. So yes, that's the right way to think about it. So that was a timing issue and not repeated.
Matthew Bouley: Okay. Thank you very much.
Operator: Thank you. Our next question comes from Tommy McJoynt with KBW. Your question please.
Tommy McJoynt: Hi. Good morning, guys. Thanks for taking my question. Could you guys talk about the outlook for the Cartus Relocation business now that it's part of franchise? And do you think that business can expect to be profitable on either a GAAP or EBITDA basis going forward?
Ryan Schneider: Look, we like the Cartus Relocation business, we always have. And primarily we liked it because it's a really good part of our value proposition especially to franchisees around lead generation. Now, I think we've given you more detail than we've ever given you on the Cartus Relocation economics, because it was in discontinued ops for the period it was. So you can actually see what the true economics were even for most of 2020, because we've already seen those out there. At the moment, like the relo market is under some pressure, right, it is not experiencing the same recovery as the housing market and it's really driven by two things. The obvious one is COVID and what that's done both to international news and domestic news. But the other one is actually visa restrictions. So the visa restrictions that were in place or have been in place in the last kind of year or two have actually been a pretty big headwind for the relocation industry, especially for a global player like us. So we move pretty quickly to take costs out bluntly, and we like how we've done on that. And we still have a pretty strong position in this business. And so we're looking forward to probably what will be more of a gradual recovery. The biggest dynamic there will probably be how much work from home does affect the relo side of the global economy. But work from home varies substantially, right? There's a lot of geographies. I'm not going to name them where frankly work from home probably won't be as big of a trend as it is in the U.S., because the ability to work from home, whether it's Internet connection or bluntly like the number of people in a building or a house or apartment doesn't make it as viable as it does in the U.S. So we'll see what happens on that. The one thing I would tell you is I think we are in an advantaged position relative to most of our competitors on relo, because for us, relo is important, but not very big part of a pretty decent sized company. We mostly compete against pure play remo  companies, who have all the pressure that we just talked about, but have none of the benefits of Realogy’s economics, technology, data scale, et cetera, et cetera. So you've got a lot of transparency about the business and we're excited to keep working on it. But it's got some headwinds at the moment, a different shape recovery. But we like the lead generation, it's still giving even today and we like the actions the management team has taken on the cost side.
Tommy McJoynt: Thanks. That all makes sense. Switching over, so now that you've got leverage down in order and refinanced the debt and there's a pretty strong outlook for housing, how do you think about capital priorities from here? And does that include potentially reinitiating the dividend?
Charlotte Simonelli: Yes. So I tried to cover that a little bit in the script. Our capital priorities remain the same. So we're going to continue focusing on investing in our business and paying down debt. We were very excited by the progress we made last year, but it definitely still remains a top priority for us.
Ryan Schneider: Yes, I can just comment on that a little bit. Look, we made 725 million of EBITDA and we did 0.5 billion in debt reduction, and we like it a lot. But I did end my section with the fact that there's a lot of uncertainty, both public health and macro. So, we think for now at least staying the course on the capital side is the way to go. The one thing that we used to do that I don't think is probably going to be -- one thing we used to do that I can't imagine is ever coming back is our dividend. So let's just put that out there for you guys to have that. As we get farther into 2021, as our progress continues, I think we will continue to always be revisiting our capital allocation strategy. We want to do our best for our investors on that. But for right now, investment in the business is absolutely at the top of the list. We have the capacity to do that. We're going to continue to do that. We're going to stay the course on debt paydown for right now and put the dividend thing aside. It will be the uncertainty that kind of determines how long we stay this course versus do something different, but you should assume we're on the path we're on until we tell you differently.
Tommy McJoynt: Make sense. Thanks.
Operator: Thank you. Our next question comes from Jack Micenko with Susquehanna. Your line is open.
Jack Micenko: Hi. Good morning, everybody. Ryan, following up on that question, you had a pretty active 2021 on the balance sheet side already. You’ve got debt where you are a bit more comfortable. It sounds like you're going to pretty much hold that until 2023 on that maturity. So where -- with the business where it's at and the volumes where they're at, a lot of cash generation probably again in '21, where are you going to invest in the business? Is it going to be agents? Is there some sort of technology piece? And then you talked about mortgage and improving maybe the ratio of lenders to agents. Where should we expect that investment really to fall in the coming year?
Ryan Schneider: Well, the first thing I’d say is, even -- whether you look back at '18, '19 or '20, we have never starved ourselves for investment in the business. So even in the midst of Q2 of COVID when we were doing 50% and 90% salary reductions for folks and hours cut across the board and all that kind of stuff, we did not stop, jack, at all investing in our technology, for example. We did not stop the launch of our Corcoran franchise and try to starve that. So, we have put a pretty substantial amount of money into investing kind of the core business that paid off in some of the different things we talked about, whether it's on the agent growth retention side, on the mortgage side, on the Corcoran franchise launch, on the technology sector. We're going to keep doing that. The two places that I think there are potential for more investment in the business, if the opportunities were there, one would be continue in the technology area. I always have -- I've said many times I'm surprised we haven't, like, done even more purchasing or investing in technology companies. And part of that's because I think there aren't that many differentiated solutions in the industry, but we've done some and like our investment in remote notarization product paid off dramatically in 2020, 15% to 100% usage increase, huge part of our title growth and kind of capturing more economics kind of thing. So we're open to continuing to do that. The other is, as we watch the world change, we had planted a lot of seeds for different business models and approaches. So, for example, we formalized our joint venture with Home Partners of America to do iBuying if we want to do it. Now nobody is using iBuying today because the market’s very hot and it's not a needed thing. But we love our agents having an offer so they can go toe to toe with anybody on that thing. And it's the kind of place where how depending on the world evolves, we might end up investing more. The buying homes part is off balance sheet, so we're not taking that on, but we may invest more in that joint venture. We've done a partnership with HomeAdvisor to actually help customers prepare their house for selling, fronting them the money and then using HomeAdvisor’s great network of service providers to coordinate the repair. So it's kind of a turnkey for the homeowner. We love it. It's a great thing. We've gone national with it. We're willing to put as much into that as we need to. So, these themes will continue to be there. And then we're always watching how the market evolves, if we need to make a bigger investment in something to turbocharge or pivot. Then you should assume that we have not starved ourselves, even in the worst times invested in the business as our Q2 investments in technology, in Corcoran franchising, in agent retention, in recruiting demonstrated and showed up in our 2020 results.
Jack Micenko: Got it. Thanks. And then, Charlotte, looking at -- you talked about another 80 million expense savings this year. I think we've all been impressed with the outperformance of mortgage and title. If volumes kind of hang in here, and that's a big if, how do we think about EBITDA margins for the year? Do we leverage from here? Do we look flat to '20? We did have that air pocket in the second quarter. Just curious how we should sort of think about the full year on the margin side based on what you see today.
Charlotte Simonelli: Yes. I think you've got the drivers nailed. I think the issue is the temporary cost saves are material and they’re Q2 and Q3. So you'll see the margins vary quarter-by-quarter, depending on what we're lapping. You're right. We do get a leverage benefit from volume so longer that the volume last. The other thing that we did is, because the JV is minority interest, then we consolidate only the earnings and not the revenue, so that helps on margin. So you've got all the drivers right. It will depend on volume. But you can't ignore the humongous temporary cost savings, because those two quarters discreetly will have their own impact.
Jack Micenko: Okay. Thank you.
Operator: Thank you. Our next question comes from Matt Gaudioso with Compass Point. Your question please.
Matthew Gaudioso: Hi. Good morning. Actually just a follow up on that point on operating expenses. I'm wondering if you could kind of expand on where those 80 million of additional cost savings are coming. And maybe some – are there any kind of callouts on inflationary pressures elsewhere in the business on the expense side to offset that?
Charlotte Simonelli: Yes. So we always experienced inflation and the single biggest thing I can point out is like merit increases and things like that. So those are things as inflation that will always fit our business. As far as the 80 million and where we're benefiting, so we have an ongoing effort across just automating things amongst all of our business that sits in brokerage, that sits in relocation. There is definitely ongoing savings of travel and entertainment and conferences and meetings and things that we consider to be temporary in 2020, but we've just found different ways of working and now we can move them into the permanent section of the savings. So they're going to hit across the P&L. You'll see them in corporate, you'll see them in brokerage and relocation, et cetera, but the drivers will be sort of on the marketing, the travel, salary staff, that's basically where you should expect to find them. And they’re pretty evenly seasonalized throughout the year. So for your models, they are relatively seasonalized evenly throughout the quarter or the year.
Matthew Gaudioso: Great. That's really helpful. And then maybe just another one sort of a modeling question. In the fourth quarter in the corporate and other segment, just with 25 million of lower operating EBITDA, was that also the timing aspect that you called out earlier or was there anything else driving that? And what would be the run rate for that going into '21?
Charlotte Simonelli: Yes, it's the same question as before for sure. So it's timing on employee related expenses, but also there were some timing on some other corporate expenses too. And so I think if you look back at previous quarters, you can sort of do an average and get a good run rate for what corporate should look like.
Matthew Gaudioso: Great. Thank you for clarifying.
Operator: Thank you. And ladies and gentlemen, this concludes our Q&A session and conference for today. Thank you for your participation. You may now disconnect.